Philippine de Schonen: Good evening, everyone, and thank you for joining us in such a short notice. This call will be hosted by Duncan Minto, Renault Group CFO and newly appointed CEO by interim. As you know, we are in a transition period for the CEO appointment. The Board is fully engaged in ensuring a swift structured recruitment process and the selection process for the new CEO is already well underway. After Duncan's short presentation, you will have the opportunity to ask all your questions. Duncan, the floor is yours.
Duncan Minto: Okay.  Thanks, Philippine, and good evening, everyone. Let's start with Renault Group H1 2025 preliminary financial figures. Following the review of our preliminary figures, it appears there is a gap with market expectations, and it's, therefore, our responsibility to update you on the main figures. So group revenue stood at EUR 27.6 billion, up 2.5%, and this was versus a consensus at EUR 27.5 billion. Operating margin reached 6% of group revenues versus a consensus at 6.9% and free cash flow stood at EUR 47 million for the first half, but this includes a negative change in working capital requirement estimated at around minus EUR 900 million, excluding tax effect. This is to be compared to a consensus, which stood at EUR 645 million. These results have been impacted by a lower-than-anticipated performance in June with volumes slightly lower than expected and increasing commercial pressure due to the continuing decline in the retail market, the underperformance of our LCV business in a sharply declining market in Europe and also a level of receivables impacted by billing timing differences over the last days of the month. To take into account the deterioration of the automotive market trends with an increasing commercial pressure from competitors and the anticipation of the continuation of the retail market decline, we are now aiming to achieve for full year 2025 an operating margin around 6.5%, which is versus the higher than 7% previously and a free cash flow between EUR 1 billion and EUR 1.5 billion versus the above EUR 2 billion previously. The timing of this announcement is unfortunate. But as you can see, this has nothing to do with the departure of Luca de Meo. Despite this downgrade versus our previous guidance, our results continue to be in line with best-in-class levels for the automotive industry with a structural and sustainable operating margin above 6%. Nevertheless, it's our responsibility to immediately react versus this miss. That's why we've put in place immediate short-term cost reduction measures, and we are accelerating our cost reduction plan with more structural levers, and the details of this will be shared during the H1 results presentation on July 31. This plan is mainly based on SG&A cost reduction plus manufacturing and R&D efficiency. It's very important to remind you the strong fundamentals on which we continue to build the success of our strategy focused on value with a flexible and agile business model to meet market demands for ICE, hybrid and electric vehicles, whatever the pace of energy transition, an attractive lineup supported by 7 launches and 2 facelifts in 2025 to address Europe and international markets, a focus on the most profitable channel with sales to retail customers in Europe, which are 15 points above market average, a constructive approach to residual values, which stands 4 to 13 points above our European peers. Our order book in Europe remains strong at 2 months of forward sales, reflecting the success of our products and a healthy management of inventories, both at OEM level and independent dealers. At June 30, total inventories stood at 530,000 units versus 560,000 at the end of March. And finally, we have a high utilization rate for our factories around 90% on average. So we continue and confirm our ability to deliver a better H2 performance, thanks to clear levers, a volume effect higher in H2 versus H1, thanks to a strong level of orders in June and the ramp-up of our launches, a positive impact coming from variable costs, including the benefits expected from Horse from H2 '25 onwards and a strict control on fixed costs. So to conclude, I would like to say, please be assured that the group is fully mobilized and focused. We will push forward all the ongoing projects and ensure that our operations remain very much centered on delivering the expected level of commercial performance by focusing on value rather than volumes and ensuring the successful deployment of our launches, securing our actions for our LCV business to get back on track and accelerating on our cost reduction plan short term, but also with more structural actions. Our industry isn't a quiet one. Our ambitions, however, remain intact. We keep designing our strategy to remain best-in-class in our industry.
Philippine de Schonen: And we are now able to answer all your questions. We have a first question coming from Jose Asumendi, JPMorgan.
Jose Asumendi: Slightly short notice, I'm still trying to understand a little bit the levers for maybe the weaker free cash generation in the first half. So can you go a little bit through those elements? And second, Duncan, has anything changed structurally in the market maybe in the last 2 months? And then three, a simple question in terms of like what do you think are the biggest actions that you're looking to leverage on into the second half to ensure that you meet the free cash flow guidance for the year?
Duncan Minto: Thanks, Jose.  Yes, so the points were that volumes actually ended up for the month of June a little bit below our expectations. And so this was really at the end of the month. We have seen an increase in the commercial pressure, and you probably saw the LCV market also continue to be significantly down. In fact, it got worse in June despite the fact that order levels have picked up, both for May and June, we actually finished with orders above last year. The timing of the invoicing in the last few days of the month meant that we ended up with more receivables still on the balance sheet because we weren't able to cash those in due to the timing of those invoices being very late on in the month. So they were the 3 key points in the reasons behind it. You said what's really changed fundamentally in the last few months. And we've seen, obviously, the retail market has been slow across Europe, and we haven't seen any positive dynamic at all in competitive positioning and pricing. We've seen actually things get tougher slightly. And then you said what are the actions to make sure that we have a second half, which will be -- secure the free cash flow. So obviously, with an estimated EUR 900 million of negative working capital in H1, we'll see that swing. I don't think we'll get all of it back, but we should get most of it back in H2. We've managed to bring and control the inventories across the distribution chain to 530,000 units. So we have the capacity to forecast a smooth production plan for the second half of the year. And obviously, we're sitting on 2 months of order in terms of order book. So confidence is there in terms of being able to secure the free cash flow target we've given. Now I think we're probably forecasting to have an upside once again this year in working capital that would actually contribute to free cash flow. And I think now with our lowered expectations, a bit more prudent, we don't expect to generate cash this year in the full year terms from working capital.
Philippine de Schonen: We now have a question from Horst Schneider, Bank of America.
Horst Schneider: Can you hear me?  It's Horst here.
Duncan Minto: Yes.
Horst Schneider: Duncan, just quickly, when you say there has been more commercial pressure, especially towards end of June, can you maybe elaborate a little bit on that? So was that in particular countries? Was it in particular segments? Or is it all in all just related to the fact that the LCV sales remained weaker? And then also when we look then at the profitability, I mean, it's still not bad, right? You maybe missed the target, but nevertheless, the margin is still okay. But the message behind that is what you need for recovery is basically increase in LCV sales, and that's basically it. And it also tells that maybe the profitability of the EVs is not yet there where it should be. Is that the right reading?
Duncan Minto: Okay.  Thanks for the question, Horst. So yes, the sort of more complicated environment is generally across Europe, particularly in France, we've seen the retail market down. And as you know, we have a stronger market share in retail segments than competitors. So I guess we suffer a little bit more. And as you've highlighted, LCV continues to be slow. So pickup in the second half will -- above and beyond the fact that we've got the inventories, maybe not to the level I would have liked, but close, not far away at 530,000 units. The order book is there. The availability of the LCV opens up with the master diversity in the second half. We have the new launches. We have the cost reductions, which are coming through. So I think we have the elements there to be able to deliver in the second half. And I think your point is very clear. Okay, it's a shame to be at 6%. We were expecting a little bit higher in the first half of the year. But we're still talking about with an operating margin around 6.5% for the full year, something showing a positive dynamic in the second half of the year. And with the recovery of the working capital, our ability to continue to generate cash between EUR 1 billion and EUR 1.5 billion. So I agree with your assessment.
Horst Schneider: Yes.  So -- but just a follow-up, when you say then that the retail was weaker, was that also in a particular country? Because I think what we have seen is that Germany was not too bad in total in H1, but especially France was weaker. So do we need to see a recovery in France in H2 as well?
Duncan Minto: No, we've taken into account that we will not see an improvement in the retail.
Horst Schneider: Okay.  All right.  So it's mainly coming from LCVs then the improvement, right?
Duncan Minto: In the dynamic, we also have new launches in the second half of the year, but obviously, our...
Horst Schneider: And [indiscernible] of course, yes.
Duncan Minto: Yes.  So -- and that's as you point out. And while the market has been down and our performance has underperformed in LCVs over the last couple of months, we do see the order take stronger than last year. I think we talked about it together, both for May and that reconfirmed in June.
Philippine de Schonen: I think that we have no more questions, probably given the short notice and the fact that there is an ongoing CMD. Thank you, everyone, for joining us tonight. Sorry again for the short notice. And as usual, the IR team is fully available to answer all your questions.  Thank you so much.
Duncan Minto: Thank you.